Operator: Ladies and gentlemen, welcome to the Sartorius and Sartorius Stedim Biotech Conference Call on the First Quarter 2025. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. This call is scheduled for 60 minutes. The presentation will be followed by a Q&A session. [Operator Instructions] At this time, it's my pleasure to hand over to Dr. Joachim Kreuzburg. Please go ahead, sir.
Joachim Kreuzburg: Thank you very much for the introduction, and hello, and welcome to our conference call on the Q1 results of Sartorius AG as well as Sartorius Stedim Biotech. Today, it's -- I'm together with Florian Funck, our CFO as well as with Rene Faber, the President of our Bioprocessing division as well as the CEO of Sartorius Stedim Biotech and also Alexandra Gatzemeyer, the President of our Lab division, as she will walk you through the slide on the most recently announced acquisition of MatTek. So let me start with walking you through the highlights of the first quarter of 2025. We think we are off to a good start, a very good start into the year 2025, pretty much development has been as expected. That means very much driven by a very healthy business with consumables in both divisions, but particularly in Bioprocess Solutions, where sales revenue is up in total by 10%, but strong double-digit growth in consumables, whereas the business with equipment remains rather muted as expected. And this has a stronger impact, of course, on the Lab division because this is a more general situation that we see in the industry that there is still a reluctance of customers to make larger investments into instruments, into equipment across the board, even though we have quite a lot of encouraging discussions with customers that are considering such -- to make such investments. On the group's level, we therefore achieved a sales revenue growth of 6.5% in constant currencies. Our book-to-bill ratio has been clearly above 1 for both divisions and, therefore, also for the group. The top line growth has been translated into a substantial margin expansion driven by scale effects but also by product mix as our consumables business has been particularly strong, as just said, and previous year efficiency program has contributed to this margin expansion. Also very positive. You will see that later is the strong cash flow and therefore, also that the leverage ratio could be reduced as planned. We also will -- do publish today then our quantitative guidance for the year 2025. We announced this end of January of this year that we will do this alongside of our Q1 publication, and we are expecting a sales revenue growth for the group of approximately 6%. For now, we would flag that or attach a plus/minus 2% bandwidth to this as still volatilities in the markets globally are relatively high. For the underlying EBITDA margin, we expect 29% to 30%. More details at the end of our presentation. And with this, I would like to hand over to Alexandra to talk about the MatTek acquisition.
Alexandra Gatzemeyer: Thank you very much, Joachim, and welcome from my side to Sartorius conference call. I will give you some more details on the signed agreement between Sartorius and BICO to acquire one of bio operating company, MatTek. MatTek is a leading provider of human cell-based micro tissues and 3D models for in vitro testing to accelerate preclinical drug development processes and to reduce or replace animal testing. Portfolio of company consists of several types of micro tissues like skin, respiratory, eyes and some others. It's also culture and media as well as some in-house testing services, and these are provided to biopharma and cosmetics companies. When acquisition is well in line with our innovation strategy, focused on advanced cell models, along with new modalities, data management and AI analytics. MatTek's leading portfolio of 3D micro tissue models will help our customers to speed up in vitro testing of drug candidates and reduce animal testing and preclinical drug development and also providing new insights. The importance of advanced cell models even further increased after the recent announcement by FDA last week on significant policy shift aimed to reducing its reliance on animal testing for drug development and incorporating new approach methodologies. According to FDA, the animal testing requirement will be reduced, refined or potentially replaced using a range of approaches, including AI-based computational models of toxicity and cell lines and organoid toxicity testing in laboratory setting. And FDA also said that they will initially focus on monoclonal antibodies and other biologics for safety and efficacy evaluations. We see that MatTek solutions are highly compatible with our LPS offering and biologic instruments, regions and software and will make Sartorius a provider of comprehensive portfolio consists of the cell models, cell analysis, instrument, consumables and AI-supported data models. We also see that the coverage of customers is kind of very good between both companies. MatTek was founded in 1985 and employed more than 80 people. Its headquarter in North America and Ashland, Massachusetts, and they also have production sites in Bratislava, Slovakia. The business will become part of our LPS division and 2024 generated sales revenue of more than USD 20 million with profitability margin, very similar to our LPS division. The agreed purchase price is USD 80 million, which is approximately EUR 72 million. Action is subject to customary closing conditions, including regulatory approval, and we expect closing during the second quarter of 2025. Major for quarter closing will be on expanding commercial geographical coverage and as well accelerating road map execution and synergy built on our product offering. And with this, I will give a word to Florian.
Florian Funck: Thank you very much, Alexandra. And also welcome from my side. Happy to take you through our set of numbers, which are reflecting I would say, a continuation of the positive dynamics that we've seen since some time already. Sales revenue was up 6.5% in constant currencies, and 7.7% in reporting currencies to EUR 883 million. This positive development is driven by a double-digit growing recurring business, which is, as you know, the dominant part of our business, while the nonrecurring part continues to be soft. . Order intake was also healthy and grew more than sales, bringing the book-to-bill to a number significantly above 1. The positive top line development is also reflected in underlying EBITDA and underlying EBITDA margin. Underlying EBITDA grew overproportionately by 12.2% to EUR 263 million and the respective margin increased by 120 basis points to 29.8%. The margin expansion that we were able to report was driven by positive volume and product mix effects and also based on the adjusted cost base as a result of the efficiency program that we implemented last year. Also EPS grew nicely by around 21%. Let's have a look at the regional development, where we can say that all 3 regions developed very positively with the Americas showing the strongest growth in Q1. The growth in all regions was driven by consumables, while the equipment business was softer across the board. China business came in slightly below prior year Q1, but on the same level as on Q4 '24, so a stable development. And without China, the APAC performance would have been at a very healthy rate of approximately 10%. Diving now into the 2 divisions, where it's clear that it has been very strong Q1 for BPS with sales growth in constant currencies of around 10% to EUR 718 million. The growth was driven by recurring business that showed strong double-digit growth compensating for the soft equipment business. Looking at EBITDA and margin. We see underlying EBITDA growing by 17% to EUR 226 million. The margin is up by a very good 170 basis points and comes in at 31.5% in quarter 1 '25. And this was driven, as I already explained for the whole group, also here by volume and mix effects and a leaner cost base after our efficiency program. Going now to LPS, where we have to say that with its high exposure to the nonrecurring and CapEx-driven business, LPS continues to be confronted with a challenging overall market situation. Sales were down 5.5% in constant currencies and 4.4% in reporting currencies. And this was driven by the nonrecurring business that developed negatively, while the recurring side of the business also here in LPS grew nicely. Especially our business with bioanalytical instruments is suffering in the situation where customers are pushing out their investment decisions on the time line. This has also an impact on the margin that went down from 24% in prior year to 22.6% in Q1 '25 and the drivers here were, of course, the lower volume, but also mix as bioanalytic instruments are quite profitable product class in our portfolio. Let me now comment on the performance below underlying EBITDA, so deeper into the P&L and the cash flow. And as you can see, the underlying EBITDA growth of EUR 29 million in absolute terms or 12.2% translated into an overproportional growth of underlying net profit of 21.4% and reported net profit of 31.2%. Operating cash flow came in quite strong, 3x as high as in 2024 or in absolute terms, plus EUR 94 million. And roughly 1/3 of this increase is stemming from higher EBITDA, 1/3 roughly from less taxes paid and 1/3 from net working capital and other effects. And combined with the low Q1 CapEx ratio and the corresponding investment cash flow of minus EUR 78 million, the free cash flow as a resulting figure grow by EUR 151 million to EUR 61 million in Q1 '25. Please do not multiply that investing cash flow of EUR 78 million by 4x to come to our full year assumption for CapEx, there will be some CapEx seasonality with stronger cash outs over the coming quarters. We will comment on the CapEx guidance in a couple of minutes. Now looking at the balance sheet related key figures. We firstly see an ongoing strong equity ratio of 38%. The reduction of the equity ratio is only due to some FX effects and the approved dividends that have been offset from the equity in the accounts that we published. Net debt slightly increased mainly due to some noncash positions such as additional leasing contracts and accrued interest. Net debt to underlying EBITDA improved from 4.0x to 3.9x in Q1. So we are, in my perspective, well underway on our planned deleveraging path. And as you can also see in the title, we stay committed to our investment-grade rating. And with that, I would like to hand back to Joachim.
Joachim Kreuzburg: Thanks, Florian. Yes, I think one topic today for sure, during Q&A will be the current situation regarding tariffs. Therefore, maybe just a couple of statements here along the slides that we have prepared. So first of all, and really as the most important aspect, I think we do not expect any impact on our competitive positioning that, of course, has to do with the fact that a large part of our products are a very integral part and validated part of processes that are run by our customers. But at the same time, it's also important to see that also our peers are running comparable global production setups and supply chains. Sartorius has established a region-for-region approach since a long time with quite well-established footprint also in the U.S. and also to some extent in China. But of course, nevertheless, we also have a number of mitigating measures being defined and underway, which include tariff surcharges, for example, and a further shift of certain production volumes. And then, of course, it's also clear to all of us, I think, that there might be second round effect, very difficult to define them and to quantify them even more so. But of course, they cannot be excluded. I think this statement, of course, it has to be shared, even though I think it's also fair to say that typically, the life science sector, the biopharma sector are less impacted from such effects. So coming to the guidance now for the full year of 2025. We are expecting robust sales revenue growth and a further -- or an increase of our profitability. As you can see, and I'm starting from the bottom of this table, we expect a slight increase of 1% midpoint for LPS, again, bandwidth, as I said earlier, plus/minus approximately 2% at this point of the year. Bioprocess plus 7% that makes then for the group, plus 6% on the top line and our EBITDA margin guidance is 22% to 23% for LPS, 31% to 32% for BPS and 29% to 30% for the group CapEx ratio around 12.5%. Net debt to underlying EBITDA, a decrease to approximately 3.5x by the end of this year. And then important to note that this -- the margin forecast does not include any potential effects from tariffs and related mitigating and corrective measures. As you can imagine, a tariff surcharge might even inflate the top line to some extent, which then might lead to a certain impact on margin. We expect all those effects to most likely be rather temporarily and also only quite limited. And once again, let me underline that we do not expect any influence on our strong position and competitiveness. So -- and with that, I would like to hand over to Rene for SSB.
Rene Faber: Thank you very much, everyone. Let me quickly walk you through the Q1 results of the Sartorius Stedim Biotech. As Joachim and Florian already mentioned, it was really good to see the continued positive momentum after the strong Q4 last year, now also in the Q1, and we are really satisfied with our achievements in the first quarter. While customers remain cautious with their investment in equipment, our high-margin recurring business with consumables products is performing really well and is performing well across all consumables product groups as well as all regions. In the first quarter, we recorded double-digit sales revenue growth of 10.4% for the SSB Group in constant currencies to EUR 745 million, and the book-to-bill ratio was well above 1 in the quarter. And looking at the underlying EBITDA increased overproportionally to sales revenue by almost 20% to EUR 229 million in addition to the higher volumes and the higher proportion as mentioned, of the consumables. Also, the previous year's efficiency program made also a positive contribution to the profitability, the underlying EBITDA margin then increased to 30.8%, up by more than 2 percentage points. Regionally, we observed strong performance across all regions. The Americas region nicely catching up, showed a double-digit growth of 13.8%. EMEA increased by 8.9% and the sales revenue in Asia Pacific region was up almost 8%. When excluding then China, a strong double-digit growth of 14.2% in Asia. Looking at the cash flow, the net operating cash flow more than doubled EUR 220 million compared to EUR 55 million in the previous year, reflecting the higher earnings, the lower tax and the stringent working capital management, as Florian described it, we are also progressing well with our investment programs in manufacturing and R&D infrastructure. CapEx came as planned with EUR 65 million, yet disproportionately low in the first quarter and the CapEx ratio stood at 8.8%. A quick view on the key financial indicators. Deleveraging progresses as expected, with the net debt to underlying EBITDA ratio down from 2.8% to 2.7% as of the end of Q1. No additional comments on -- for me on the tariffs, as Joachim covered them already in the SAG group part. By that, I move now to the guidance for the full year 2025 for the Sartorius Stedim Biotech Group. Based on the first quarter positive momentum, we expect the continued demand recovery for our recurring consumables products and still rather muted equipment business in 2025, we project top line revenue growth of around 7% for this year and with the continued above-average volatility at this point in time a range of plus/minus 2 percentage points. In terms of profitability, expectation is that the underlying EBITDA margin will be around 30% to 31% compared to previous year figure of 28%. And as Joachim explained, this margin forecast does not include any possible effects of tariffs or related mitigating or corrective measures. CapEx ratio around 13% and the underlying net debt to underlying EBITDA at 2.5x, down from previous year 2.8x. And with that, we move to Q&A. Thank you very much.
Operator: [Operator Instructions] Our first question comes from Subhu Nambi with Guggenheim.
Subhalaxmi Nambi: Was there any pull forward of orders you observed in the quarter because of the tariff dynamics or any macro uncertainty? I ask because there was higher-than-expected growth in Americas. So any particular reason what drove that would be helpful.
Joachim Kreuzburg: Okay. Yes. So only 1 question. Thank you very much. We haven't seen that. We don't consider that to have played any relevant role during Q1.
Subhalaxmi Nambi: And then what drove the higher-than-expected growth in Americas still?
Joachim Kreuzburg: So we wouldn't say that it was higher than expected. I think last year, we partially had the question whether development in the Americas was a little bit more down or more muted than in other regions, then we said no, not really the case. It's rather a temporary effect that has to do -- has to do also with comps and there is no underlying trend or anything that we can see here.
Operator: The next question comes from Doug Schenkel with Wolfe Research.
Douglas Schenkel: So first on instruments. You said earlier in your prepared remarks that you have had quite a number of good discussions about instruments in spite of the actual [ curb ] on revenue. Could you tell us more where are you seeing the most activity? What type of customers? What type of instruments? Is this for expansion or replacements? And then conversely, where is activity more muted? So that's really the first topic I would like to cover. The second is, in the United States, I believe you have said previously that 1/3 of U.S. revenue is supported by U.S. production. In response to tariffs, how quickly could you increase [indiscernible]?
Joachim Kreuzburg: Yes. Maybe I answer the second question and the first or will be answered by Rene because this is really mostly something that is related to discussions that we are having with customers in the Bioprocess division currently. So a little bit more than 1/3 of what we sell into the U.S., we manufacture in the U.S. currently. And we believe that we can lift another 10% or so within just a few months on the longer time horizon, maybe a bit more would be possible as we quite have some infrastructure there. But of course, also those shifts at some point come at a cost. So therefore, we are -- would not flag today that we will achieve much more than around this 10 percentage points. As we said, there are a number of measures underway, and we think that we will see in our industry, not just for ourselves in our industry, quite a lot of tariff surcharges for now.
Rene Faber: And take your first question on the instrument systems. So what we see is kind of a continued ongoing quite high activity level on the customer side when it comes to preparing for additional equipment purchases preparing for your question was partly related to, is it an expansion of capacities or replacement. So we start, especially this first quarter starting to see more and more expansion projects coming, a lot of demonstrations for equipment are going on, yet nothing which would result yet in a really increased level of orders, but we are optimistic that this ongoing high-level activity level, we will see the recovery of the equipment starting this year.
Operator: Our next question comes from Hugo Solvet with BNP Paribas.
Hugo Solvet: Congrats on the brief. I have 2. So first question on order intake. Would it be fair to assume that book-to-bill would be doing better than historical trends of around 1.08 in the quarter? And second, thanks for the clarification on the pull forward of demand, which apparently had no impact on that order intake in Q1. Just wondering if this also applies to pent-up demand or blanket orders, which I think you had a bit of an impact on the order intake in Q4. So that would be my 2 questions. And thank you very Joachim, for all the interactions in the past years and good luck, all the best for the rest.
Joachim Kreuzburg: Yes. Thank you very much, Hugo, also for your kind last words. Now you have to live another half an hour with me now. But let me first of all ask for clarification of your second question. We are not sure whether we really got it. Can you please repeat your second question, Hugo?
Hugo Solvet: You made some clarification comment on the fact that there was no pull forward of demand impacting the order intake and lifting the order intake in Q1. I was just wondering if you also haven't seen any pent-up demand and/or any blanket orders in this Q1 order intake?
Joachim Kreuzburg: Blanket? So yes, thank you very much. So I guess we got it now. So on the first one, order intake, book-to-bill ratio. So I think what is important to note here is because you are relating to that, and I think that makes a lot of sense to longer-term trends and levels. What is very important, the 1.08 that you were mentioning, was indeed a longer-term average. So it's a good yardstick to compare a current level with, but I would always recommend -- we would always recommend to use it rather for annual book-to-bill ratios than for quarterly book-to-bill ratios. So having said that, what we have seen now for 2 years pretty much consistently, of course, coming from a low level after the reduction of inventory levels kicked in at customers that our moving annual total book-to-bill ratio is moving upwards. Moving annual total book-to-bill ratio is just that what I mentioned, what makes sense to look at, that represents a 12 months average. And we are now, since more than a quarter, above 1 with this moving annual total. So all this moves exactly into the right direction. And of course, the moving annual total moves a bit slower than a monthly figure, I think that goes without saying. So -- and then my last piece of perspective that I would like to share here is for the quarter, the yardstick of our longer-term average is a good comparison. Let me phrase it like that. So that is the level that for the quarter, we are now roughly seeing. But again, please keep in mind this makes really sense on a moving annual total perspective only to measure against. But again, all those trends, all those signs are exactly moving in a nice, consistent way into this direction. And then on blanket orders, not higher or anything than we have seen at other points in time. This always plays some role. Some customers place such orders. Typically, by the way, at very individual points in time. You wouldn't say it always happens in Q1 or it always happens in Q4. It's really different from customer to customer, and there is no particular pattern that we could report for Q1.
Operator: Our next question comes from Richard Vosser with JPMorgan.
Richard Vosser: Now the question, maybe I could ask about the seasonality in bioprocess. How are you thinking about that? Obviously, we've had a very strong Q1 above 10% growth and your guidance implies there is a 5% to 9% range. How are you thinking about that based on what you can see in your order book? That's the first question. And the second question, just on LPS. Just again, pretty similar question. It's been relatively weak in Q1 and obviously, equipment is remaining muted, and that's quite a large proportion of the business. What gives you the confidence to be able to get to 1% growth given the decline that we saw in Q1?
Florian Funck: Right. Thank you very much. I'll take the first question on the, yes, seasonality in the bioprocessing. Look, nothing really special what we would expect or different to the previous years with respect to seasonality, you're right, good Q1, strong Q1, but no big ups and downs expected for the rest of the year. You -- like if we look at seasonality, maybe it's fair to say Q4 is strongest, followed by Q1 and then Q2, Q3, that's something we would also expect for 2025. Again, no big differences. You can read from our guidance, 7% in the range we have the plus/minus 2 percentage points. That gives you kind of a good idea where we are heading.
Joachim Kreuzburg: Yes. Maybe just some first remarks on LPS, and then Alexandra will add to that. So the ratio also for LPS has been encouraging and following an encouraging trend, as I just explained. And then we also have to keep in mind that it hasn't been so much a reduction of entry levels at customers, but we also have seen a period during 2021 and '22, in particular, with partially still having an effect in '23 of significant expansion of lab capacities, research capacities, a lot of investments being made into instruments and therefore, a muted demand following that. And I think we have seen the trough here. And then on top of that, the division also has launched a few products, more to come, very encouraging customer feedback, and maybe Alexandra you add to that?
Alexandra Gatzemeyer: Yes, following and the comments on the new product launches, we could see that with innovation is really a result for the customer. So launch an instrument in the end of January and March, we already had the first order. So really a rotation of on the leads to the order was faster than usual. And historically, we have also seasonality within the LPS division and second half of the year for us, always stronger than the first half of the year that we saw in all the previous years. So it's innovation, it's seasonality. And of course, we didn't utilize fully potential nonrecurring revenue. I see that coming together with instruments in the second half probably stronger than now.
Operator: The next question comes from Paul Knight with KeyBanc.
Paul Knight: Joachim, the question is on tariffs. Do you think customers will easily absorb those higher prices because products are so important to therapeutic manufacturing?
Joachim Kreuzburg: Yes. So it's really important to underline that we are -- and I would guess and assume that our peers will do this very, very similarly that we are really only parting to our customers, those additional costs that we are facing through tariffs. So -- and we'll be very transparent towards customers about that. And therefore, I believe that our customers will accept that and also can accept that. And you are right, all products are essential for the manufacturing processes, in particular. But as always, we are not taking unfair advantage of that. But we are planning to compensate the effects that we are facing.
Paul Knight: And then regarding National Institute of Health, are the related universities spending less due to the budget confusion? And then the other part of NIH are encouraging less animal but more cell testing. How quickly do you think that cell testing develops?
Joachim Kreuzburg: Yes. So thank you for this $100 million question. We believe, actually, that there is -- there's reason to be quite a bit optimistic. Why? Because this technology is innovative, no doubt, on the one hand and still a lot of further improvements and expansions of this technology possible. And we believe that MatTek is, therefore, the best available platform. But at the same time, it's a technology that is very well established in the cosmetics industry, for example. Of course, you can say with a limited scope and with a less complex scope. But nevertheless, absolutely established. And I think it has been a long way coming that there is no yes, broader ask and support and commitment for an establishment of this technology. And therefore, we are quite optimistic. At the same time, we should keep in mind that when you look on animal testing globally in total within drug development, research and development, I think only 15%, maybe 20% of all the animals being used are being used there, right? So even if within the next 5 to 10 years, we can compensate for that to a large, large extent, we are addressing only maybe max 20% of animal testing so far. Yes, so -- but nevertheless, it's absolutely worth it. But as Alexandra also said, it's not only and only in tips here, only that, it's also that the tissue-based test procedures provide more relevant biological insights and allow for an accelerated and more efficient drug development. I think it's really a technology that provides a lot of advantages -- strong advantages. And therefore, I think there's a good reason to assume that it makes substantial inroads within the next couple of years.
Operator: The next question comes from James Tempest with Jefferies.
James Vane-Tempest: Just come back to the comments on book-to-bill sort of well above 1. I mean it does imply a material increase from 1. So wondering if you can help quantify that. I think from memory, you did 1.2x or so in Q4, which seems to be more of a relevant quarterly reference point. We've had a bunch of incoming as well on why you stopped disclosing orders and some investors have been surprised if you could help us understand and come back for a follow-up.
Joachim Kreuzburg: Okay. So yes, thank you for that question. So we have been in a discussion and interaction and dialogue a lot with investors and with analysts over the last, yes, you could say pretty much like 8 quarters or so. And clearly, the majority of those discussions have led to the conclusion that the full disclosure of order intake, which was unique, nobody else was doing that in the same way as rather led to a distraction from the more relevant KPIs. And you could also say sometimes to misinterpretation. And therefore, we have decided to really align a little bit more with what seems to be -- I don't know whether it's right to say, market standard or the average level of disclosure here. And that is why we are giving this insight. And nevertheless, try to give additional color through explanations as we are giving it here today for both divisions and the group. And I thought that we also were giving some further help in interpreting this information in the right way. So maybe let me once again say for both divisions at the group, we see a positive trend for the -- what we would consider the really relevant perspective, which is the moving annual total trend for book-to-bill. And that we know since more than a quarter see this number being above 1. And I also gave an indication that for the single quarter, even though that is maybe even a little bit too shortsighted, we are somewhere around the level that we've seen on the longer-term averages before the pandemic. So I hope that's helpful, and we are fully committed to support you interpreting these numbers in a good way and giving this insight. But we, at the same time, are convinced that this full disclosure of order intake really bears the risk of 2 shortsighted interpretations, misinterpretations and distraction from focusing on the more relevant KPIs.
James Vane-Tempest: And my follow-up is if you could just comment on industry lead times and whether you're seeing those extending and any view on excess capacity across the industry or if you think that's lower. You mentioned seeing more frequent orders, but are you also seeing volumes going up per order? And if so, how does that relate to pre-COVID?
Joachim Kreuzburg: So you -- are you referring to capacity utilization within -- on our customer side or on our side?
James Vane-Tempest: Well, I guess your side in terms of being able to supply and our lead times -- a lead time shorter or longer? And are you seeing the average volumes going up or not? Just trying to get a sense in terms of whether the ability to supply customers is getting harder because there's increasing orders sort of coming in, in terms of the demand for your products?
Florian Funck: I can take that question. Thanks for that. So it's good that the demand is increasing, that we talked about that really positive momentum we see. We have expected that -- and to the lead times, the product groups, we are well within the standard lead times, more standard products, some product groups, we've seen now a bit longer lead times. Mostly related to the supply chain. So the supply of the components much less of the reason is the capacity. Capacity is there, were quite quick in ramping up with doing that been doing that. But in some cases, waiting for to get the components that can lead to a bit longer lead times.
Operator: The next question comes from Charles Pitman with Barclays.
Charles Pitman: Just one more on orders and your commentary around the lack of pull forward. I'm just wondering if you could give us a little bit more detail on the phasing of orders seen over 1Q by month? And if you could just -- I know there's a fair amount of lumpiness, but just to kind of give us a little bit more confidence that you can have that insight that there is no pull forward from 2Q, 3Q, 4Q this year? And then just a second question on the guidance for the year. What you provided previously at FY '24 was kind of qualitative, and you suggested that you're remaining cautious. Can you just confirm I assume this is the case given the plus 2, minus 2 percentage point range on guidance that this does remain intentionally conservative in your eyes, given the strong 1Q results.
Joachim Kreuzburg: Yes. Your first question -- I'm sorry, we cannot give more insight than what we tried to give you already. So we haven't seen any pull-forward orders to the best of our knowledge. And then yes, well, of course, the guidance that we are giving you today, we intend to give in a sense of a robust guidance. And I think 2 percentage points plus/minus is a bandwidth that has made -- made a lot of sense over the last couple of years, and I'm not only referring to the pandemic. It's at this point in time of the year, it's typically what you can see as variables and even more so in these times, I believe. So -- but yes, we try to give a robust guidance here, indeed.
Charles Pitman: And maybe just a quick follow-up and if you could just give us a little bit more detail on kind of what would it take to reach the top or the bottom end of this guided range? I mean, to get to the top end, would you have to see a full recovery of equipment demand by the end of the year was suggesting you would see some recovery? And what would have to happen to hit the bottom end given the strong start?
Joachim Kreuzburg: Yes. What is -- what I find always important here is -- and I hope you can confirm that there is a good reason for this confidence now again after a couple of quarters, a few quarters at least, that are very much based on the fundamental trends. That the question for reach a certain volumes is not so much a question of if, but of the when. So therefore, it's more the question, okay, will the recovery of the instruments and equipment orders start 3 months earlier or later. This is indeed a little bit the variable and the aspect that is a bit difficult to predict indeed and not really within our scope of influence. So that's exactly the point. But at the same time, the flip side of that coin is that we can be very confident that it will happen. I think Rene was talking about the encouraging discussions that we are having with customers about substantial projects. And all this, we shouldn't forget that is backed by very healthy pipelines of our customers, quite strong levels of new product approvals. So therefore, -- and of course, it doesn't help much when you want to make -- dial in a number in your Excel sheet for the year 2025. I fully understand that. But nevertheless, a little bit bigger or broader perspective, this will come. And at this point in time, it's a little bit difficult to exactly say in which quarter it will kick in and that makes a difference indeed.
Operator: The next question comes from Thibault Boutherin with Morgan Stanley.
Thibault Boutherin: First question is just on the midterm outlook. We are seeing sort of large investment announcement from the pharma industry in the U.S. to onshore capacity with a big CapEx plan being announced. Is it fair to expect incremental demand from building capacity in the U.S.? And to what extent you expect to participate into this. And also the timing where if this happens, is it a 2025 story in terms of orders? Or would potentially more materialize in 2026 in terms of orders? That's the first question. And the second is just on China. If you could provide an update on the softer demand and outlook in China. There are some talks of potential acceleration of the stimulus program from the government. So do you think you could benefit from this as well to some extent?
Florian Funck: I take the first question on the investments and announcements. Our business is very much driven by the drug demand. On -- as you know, the -- for the bioprocess division, 80% is recurring consumables revenue, and it's -- that what drives that is the volumes of manufacturing, the approvals of new drugs going then and driving the increase in the volume. And as Joachim mentioned, the pipelines of our clients, that's very much the most important growth driver. The investments, which are planned are not necessarily bringing the volume, but in certain standard will have positive effects on the CapEx and some installations of equipment that yes, but the major part of the business is really volume driven.
Joachim Kreuzburg: China stimulus, not much new to report on. Of course, all of our customers are looking into opportunities, but yet not much has materialized, I would say.
Operator: Our next question comes from Falko Friedrichs with Deutsche Bank.
Falko Friedrichs: Two questions, please. Firstly, on the consumables business within BPS. How close to a normal demand pattern are you seeing here again? And is this destocking now fully completed or for the most part, completed? And then my second question on tariffs. Could you give a few examples of the types of products that you do have to import into the U.S. at the moment? And when you said that you could shift a little bit about 10% to that within a few months, for which types of products would you do that?
Joachim Kreuzburg: Okay. So first question, the demand consumables, the pattern we see, yes, we are, I would say, close to the real demand of our customers means that destocking is indeed to the biggest extent already behind us. Still here and there are some pockets and customers still working through the rest of the inventories, but it's not anymore the main topic for us. And on the tariffs and the product group's examples, in the U.S., we, in Puerto Rico, where we have a large manufacturing facility. That's the main -- the biggest product groups in our consumables portfolio like filters, single-use bags, which we have installed capacities over there and then East Coast on the U.S. also and equipment side, assembly of power processing equipment, products, examples where we don't have a footprint in the U.S. would be some reagents from the recent acquisitions as an example.
Falko Friedrichs: And Joachim, all the best to you and your next steps beyond November.
Joachim Kreuzburg: Thank you.
Operator: The next question comes from Oliver Metzger with ODDO.
Oliver Metzger: The first one is more modern question to understand. So the strong order intake you recorded in Q4, would you describe that the majority of revenues related to these orders were already converted into sales in Q4? Or was there some spillover in Q1? Second question is about early biotech funding for last week's were turbulent and we saw in some areas, even some reluctancy to invest. Could you share your view whether you saw any deterioration of biotech funding again and not do you see the underlying recovery of early biotech to continue?
Joachim Kreuzburg: Yes, Oliver, thank you for your question. Let me answer on order intake Q4. And just to remind everybody of us. This was overall in the group, a very high order intake of more than EUR 1 billion, EUR 1.041 billion to be precise. And of course, there were, I would say, a normal part was already converted to sales in Q4. Also, Q1 benefited a little bit of that. But still, as you've seen also that our orders on hand have grown by year-end. There is a lot even also after Q1 to materialize in our business. So Q2 and to some extent, even Q3.
Florian Funck: Yes. Early biotech, I would say clearly not get back to the very high levels that we have seen since mid of 2020 and then through '21 and large part of '22 probably. But let me remind you that we are -- don't have such a big exposure to early biotech and NIH funding directly. Of course, you could say it's a certain proxy for how the -- all the general Moody's in the industry also in the U.S. So clearly, still, as you say, maybe a little bit of a reluctance, but it's also fair to say that the low point is behind us here.
Operator: The next question comes from Dylan van Haaften with Stifel.
Dylan van Haaften: So just 1 clarification on the tariffs. Just when you talk about surcharges and plus maybe some transfer pricing. Should we just think about this as just generally being P&L neutral ex maybe some quarterly movements? And then my second question would be, if you could just remind us on the LPS equipment side, what the split is in terms of biopharma industry exposure, sort of NIH and AMEA?
Florian Funck: So the correct -- yes, the corrective and mitigating measures that we are undertaking are meant to keep it EBITDA-neutral indeed, that -- that's what we are aiming for and Alexandra?
Alexandra Gatzemeyer: Looking into our instruments split between different segments. So you asked NIH, Academia and Pharma and NIH Pharma is rather small amount, around low single-digit percentage. Then the second biggest would be biopharma followed by academia between all the all biologics instruments.
Dylan van Haaften: And maybe just as a short follow-up on that. Are you at all concerned about what's happening on the funding side of the university side? And would you expect that would hit ordering on equipment?
Alexandra Gatzemeyer: We didn't saw any different pattern in Q1 for the ordering patterns, sorry, from academia or course we will monitor what happened in Q2 and Q3, but Q1 was you could say pretty usual business in academia with front and on all the orders of the instruments as well as consumables for this instrument.
Operator: [Operator Instructions] The next question comes from Charlie Haywood with Bank of America.
Charlie Haywood: Charlie Haywood, Bank of America. Just a quick 1 on your bioprocess EBITDA guide implies limited margin expansion from first quarter throughout the year. So is it fair to expect that to continue as fairly flat throughout the year on the margin level? Or what's stopping you seeing continued margin expansion? And then just a very quick clarification. Can you confirm your sales guide currently excludes the passing on of tariff costs to customers?
Joachim Kreuzburg: Yes. Let me start with the guidance question. First of all, there is, of course, a I would call it, reducing factor of the efficiency program as base effects from last year also kicking in. This is why we are taking a more cautious approach on guidance going first. A second point to keep in mind is that in Germany as well as in other important markets, there will be some cost effects kicking in also because of personnel cost increases, wage increases that are typically kicking in Q2 of the year. So this is why we are right now starting into the year for the guidance that is round about the current level of profitability that we have seen.
Florian Funck: Yes. And the second question, also correct, surcharges yet not being factored into our guidance.
Operator: The next question comes from Jamie Quigley with Goldman Sachs.
James Quigley: Jamie Quigley here from Goldman Sachs. So I've got a question picking up again on the timing of when equipment could start to come back in the BPS division, as that's quite a big offset on the strong growth that we're seeing in consumables. So could you just remind us of what are the key factors that are driving the slow equipment orders? Is it the fact that during COVID, there was a massive increase in orders and deliveries and now some of your pharma customers are waiting to increase utilization of those facilities before ordering new equipment? Is it more of a case that customers are sitting on investment decisions and not wanting to invest further? Or is it as we've seen across the market, there's a lot of activity in the CDMO space with stainless steel manufacturing so maybe less of a requirement for things. So any sort of color or any factors there that you could point on would be so be useful. Again, I appreciate you don't have a crystal ball, but if there's any sort of idea as to when we could start to see equipment being less of an offset on consumables, that would be awesome.
Florian Funck: Okay. So let me try to give you a bit of color to what equipment regarding the equipment situation. And how you described that, I think all the different asset play role here. Definitely, there is some profits of overcapacity still in the industry. We've been talking about the China specifically, maybe a region where that was most pronounced or is mostly pronounced yet we see a nice kind of growth of the use of consumables in the in-store space, clearly showing that the utilization of the equipment in the industry is increasing, and we are approaching to the high utilization levels. You mentioned CDMOs. That's a group of the small midsized CDMOs where we clearly see that the projects coming, utilization rates increasing and first projects for capacity expansion already in our opportunity funnel. Maybe to give you an idea, I would say, half of the projects, equipment projects we are working on today is what I would call capability additions like new equipment, which customers didn't have before. And maybe then the other half, 50-50 split capacity expansions and second, the kind of replacement of the older equipment. I hope it helps to understand the situation there.
Operator: The next question comes from Charles Weston with RBC.
Charles Weston: Just one on inventories, specifically your own inventories. Has your industry reduction programs finished? And was there any margin impact from that in Q1?
Joachim Kreuzburg: Yes. Thank you for that question. Inventory developed in Q1 quite stable, but based on an increased business, of course. So in terms of inventory days, we were able to make even improvements in and there has been no margin impacts like the ones that we were talking about last year. Because everything that we have been producing was not reducing overall the inventory to a large extent. So no double effect of fixed cost in our P&L in Q1.
Charles Weston: Is there more to come on the inventory days?
Joachim Kreuzburg: No, we are not expecting that in 2025.
Operator: The last question comes from Delphine Le Louet with Bernstein. Maybe your microphone is on mute.
Delphine Le Louet: Yes, sorry for that. No, I had some issue with my mic. Firstly, Joachim, thanks a lot for all the job you've been doing over the decades. We know each other and when I look at the journey you've been doing on the biopharma and all the innovation you bring to the table, I think it's -- it's an amazing achievement. So well done for your leadership and where we are today. And so obviously, my question is going to be for you. And probably with a long-term or midterm look at, can you detail us your CapEx expansion plan in the U.S. And what's going to trigger, if any, the tariff a bit of a change in your CapEx direction for the U.S. specifically?
Joachim Kreuzburg: Yes. Thank you very much. Maybe a few words from my side, maybe my colleagues want to add to that. But the tariffs now, of course are maybe opening a new chapter in a trade conflict that we saw coming, all of us are coming since more than 8 years now. And therefore, also, we have expanded our footprint in the U.S. as well as in Asia, for example, quite a bit over the last couple of years. Just as a reminder, we have substantially expanded our presence, our manufacturing presence in Yauco. I think just a minute ago, Rene was talking about the bandwidth of products that we are manufacturing there that is very substantial. We also have opened up just last year our center, our global center for our analytical technologies, instruments, technologies, manufacturing and R&D in Ann Arbor as the majority of the market for such instruments is in the U.S. And then later last year, we have opened up our customer interaction center about product -- process development, sorry, in Marlborough close to Boston with a certain focus on new modalities, and we also are running manufacturing sites. They're both for equipment as well as for consumables for the Bioprocess Solutions division. So what I want to say about that is we already have quite an established footprint. We can further expand the utilization of these capacities short term to some extent. I was talking about that when I said 10 percentage points, that would reflect something like buy a quarter or so in relation to its current utilization. And of course, it would be possible to go a bit beyond that then afterwards, if necessary as well. So we think this is already quite a substantial footprint and at the same time, an efficient footprint because we think it would be -- it would come at a cost if we would expand our footprint in the U.S. substantially also across all other product segments. So therefore, no plans today. And therefore, we would project today that CapEx ratio globally for Sartorius will go down within the next years to come after our expansion in Asia has been further progressed. So that's a bit our perspective yesterday. Okay. Good. So I think we have come to an end here today, and all questions, hopefully have been answered to your satisfaction. I would like to thank you all for your interest in Sartorius. I would also like to thank you personally for your kind words. During today's call, but also always for your -- yes, your support by covering Sartorius, and it has been really a very satisfying journey together in this very nice industry, I think we are all focusing on. So thank you very much. My journey at Sartorius is over, but not my journey overall. So let's see where we will meet again in the future. I would -- I at least would be happy to do so. So all the best to all of you, and thanks a lot.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.